Operator: Good day, and thank you for standing by. Welcome to Semtech Corporation's First Quarter Fiscal Year 2026 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management’s remarks, there will be a question-and-answer session. Please be advised that today's conference call is being recorded. I would now like to hand the conference over to Mark Lin, Executive Vice President and Chief Financial Officer. Please go ahead.
Mark Lin: Thank you, operator. Good day, everyone, and welcome. In addition to Hong Hou, President and Chief Executive Officer. I'm thrilled to be joined by Mitch Haws, Senior Vice President of Investor Relations. Many of you know Mitch, given his breadth of semiconductor experience at AMD, Skyworks and Freescale and now Semtech. With that, I'll turn the call over to Mitch.
Mitch Haws: Thanks, Mark. I'm very happy to join the Semtech team and look forward to engaging with all of you in the months and quarters ahead. Today, after market close, we released our unaudited results for the first quarter of fiscal year 2026, which are posted along with an earnings call presentation to our investor website at investors.semtech.com. Today's call will include various remarks about future expectations, plans and prospects, which comprise forward-looking statements. Please refer to today's press release and see Slide 2 of the earnings presentation as well as the Risk Factors section of our most recent annual report on Form 10-K for a number of risk factors that could cause our actual results and events to differ materially from those anticipated or projected on this call. You should consider these risk factors in conjunction with our forward-looking statements. Unless otherwise noted, all income statement related financial measures will be non-GAAP other than net sales. Please refer to today's press release and see Slide 3 of the earnings presentation for important information regarding notes on our non-GAAP financial presentation. The press release and earnings presentation also include reconciliations of our GAAP and non-GAAP financial measures. With that, I will turn the call over to Hong.
Hong Hou: Thank you, Mitch. Welcome aboard. Good afternoon, everyone. We reported Q1 results with net sales, adjusted gross margin, adjusted operating margin and adjusted diluted earnings per share each above the midpoint of our guidance. These results illustrate the resiliency of our business and offer another proof-point of our operational excellence. Semtech's Q1 ended on April 27, so we closed the last month of the quarter during an extremely turbulent period, but we successfully navigated through dynamic tariff policies. Superb coordination among our operations, sales, compliance teams was instrumental in mitigating the tariff situation for Semtech and our customers, facilitating a stable flow of product across the global semiconductor supply chain. I extend my heartfelt thanks to these teams and recognize their efforts in helping us achieve our Q1 results and supports our conviction for the quarters ahead. Semtech's Q1 results also reflect our focus on core priorities, including portfolio optimization, strategic investment in R&D, and driving margin expansion. While uncertainty in a market may impact the timing of some of our portfolio optimization initiatives, we have strong conviction that we can operate these businesses to grow the top line, expand profit margins and improve overall financial metrics. We believe this will create more value for our shareholders. Moving to our end markets. For Q1, Infrastructure net sales were $72.8 million, up 5% sequentially and up 30% year-over-year. Net sales for data center were a record $51.6 million, up 3% sequentially and up 143% year-over-year. Our expectations for short-term demand gap in CopperEdge remain consistent. That said, we expect our data center business to be a sustainable growth driver, especially given recent indications of capital expenditure growth by hyperscalers, as well as from innovations in our copper and optical portfolios. AI data centers face critical power and thermal challenges which will grow exponentially as compute workloads increase. Our analog solutions are well suited to address these challenges. CopperEdge enables a significant paradigm shift in connectivity, delivering the signal integrity and rich extension needed for next-generation AI clusters. Compared to DSP-based options, CopperEdge reduced power consumption by over 90% and also enables a significantly longer reach than the direct attached copper of DAC cables. At OFC, we demonstrated a number of CopperEdge driven ACC applications, all with the bit error rate well below acceptable ranges. At 1.6T, we successfully run traffic across a 3 meter 27 gauge cable using two 24 gig SerDes boards (ph). Our launch application at our anchor customer last year was a 1.1 meter cable. So this demonstration highlighted the high performance capabilities and the reach of our CopperEdge ICs. At 800 gig, the dominant read of data center traffic, we demonstrated an extended reach 5 meter ACC connected to Broadcom Tomahawk 5 switch, a prospective customer requested this configuration for use at the replacement to DAC cables. Also connected to the Tomahawk 5 switch with ultrathin 3 meter 30 gauge cable that has significant benefits in airflow and bending radius both characteristics valued by REC (ph) architects. We remain closely engaged with our CopperEdge anchor customer for applications in their future generation RECs. In addition, hyperscalers, switch vendors and cable manufacturers continue to show interest in CopperEdge ACCs. We have delivered ACC cables for testing and qualification to multiple customers and expect the meaningful design wins at hyperscalers and enterprise customers leading to volume ramps before the end of this fiscal year. On the optical side, our LPO demonstration at OFC generated significant interest and our expectation of deployments in the second half of this fiscal year remains unchanged. We are pleased that the feedback from our customers indicate Semtech TIA for LPO offers superior performance and we believe we are winning the lion's share in TIAs, and we also released our LPO laser drivers last quarter and are generating design in traction at multiple-module suppliers. Moving to our high end consumer end market. Net sales for Q1 were $35.4 million, flat sequentially and up 3% year-over-year. Net sales in Consumer TVS were $24.5 million, in line with our outlook for Q1 and up 2% sequentially. We expect a pattern of smartphone unit ramps fairly consistent with the past years, with the increase in the second quarter and the successive increase in the third quarter. Within consumer TVS, we believe our innovation continues to result in increased content. I'm pleased to highlight expanded design activity of search switch a system-level protection device across a number of manufacturers and platforms. SurgeSwitch has the capability to simultaneously address expanded dimension of threat from ESD, our electrostatic discharge, our EOS or electrical overstress across a wide operating temperature range. Final process geometry in advanced nodes for IC Fabrication have increased the demand for the type of rigorous off-chip system-level protection offered by SurgeSwitch. For our PerSe or person sensing products, we have discussed use in smart glasses and application, we believe has a strong potential to be next-generation AI interface platform. We have a growing field of opportunity and are actively engaged with a broad range of customers on both existing designs and on new launches. In smartphones, PerSe addresses increasingly stringent specific absorption rate or SARS standards and is currently deployed on devices at most leading manufacturers. PerSe offers meaningfully lower power, improved sensitivity and best-in-class noise rejection. PerSe use of Semtech's novel packaging expertise also results in a smaller footprint that allows us and our customers to develop a slicker form factors. Moving to our industrial end market. For Q1, Industrial net sales were $142.8 million, down 3% sequentially in line with our outlook and up 24% year-over-year. Within the industrial end market, net sales of LoRa enabled solutions remained strong at $38.9 million, up 5% sequentially and up 81% year-over-year. Demand supporting new product launches and deployments remained robust. We recently announced that Sonova, a world leader in innovative health care solutions, chose Semtech as a technology partner to create an ultra-small -- ultra-low power wireless radio and power management IC. LoRa technology highlights Semtech's deep expertise in ultra-low power RF with the clear match for battery operated devices, including hearing aids. Robotics and unmanned aerial vehicles are also an emerging market for LoRa, lower ability to operate in due bands 2.4 gigahertz and ISM frequencies offered enhanced bandwidth, which is well suited for these applications. In addition, LoRa’s modulation scheme now paired with a multiple protocols provided the capability of LoRa Plus allows manufacturers to extend the end applications, including safety, security as well as smart building. Our IoT systems hardware business recorded Q1 net sales of $63.5 million, down 8% sequentially, but within expectation of our outlook and up 31% year-over-year. Bookings in the first quarter for this business increased for the seventh consecutive quarter. Pipeline also increased substantially in Q1, attributable to both the inclusion of a significant China-based competitor on a sanction list and the strong indications of a broader market recovery. We expect a continued growth and improved profitability in our IoT cellular portfolio based on stronger pipeline and bookings. Growing 5G adoption rates, particularly in North America is benefiting our hardware business, with the current deployments utilizing the first and second gen modules. In Q1, we launched a two 3rd gen 5G modules, a cost-optimized solution supporting broader 5G adoption for value-focused applications and the performance optimized solutions supporting 5G advanced to enable next-generation edge-based AI applications. IoT connected services net sales were overall stable for this largely recurring revenue business. Our connected services business is a great example of Semtech's deployment of AI tools. As an example, anomaly detection highlights abnormal network activities and notifies our operating center, and we believe this improved detection capabilities have prevented a security incidents for our customers. In summary, we have made significant strides in strengthening Semtech's financial foundation over the past year, which allows us to sharpen our focus on improving profitability and investing in innovation and capabilities that position us for long-term business growth. Our Q1 results reflect disciplined execution. At the same time, we recognize that there is still much work ahead of us to fully unlock the value of our unique technologies and to deliver sustainable long-term returns for our shareholders. We must continue to solidify a winning culture, accelerate innovation and leverage our technology leadership and execution, all of which position us to deliver enhanced value to our shareholders with increased revenue and expanded margins. I now turn the call to Mark for additional details on our financial results and our outlook for the second quarter of fiscal '26. Mark?
Mark Lin: Thank you, Hong. For Q1, net sales were a record $251.1 million, above the midpoint of our outlook and up 22% year-over-year. We do not believe our Q1 net sales reflect material pull-ins due to tariffs. Net sales trends by end market, reportable segment and geographic region is included on Slide 16 of the earnings presentation. Adjusted gross margin was 53.5%, up 30 basis points sequentially and up 370 basis points year-over-year. Adjusted net operating expenses were $86.6 million, below the midpoint of our outlook. Adjusted operating income was $47.6 million, resulting in an adjusted operating margin of 19%, up 680 basis points year-over-year. Adjusted EBITDA was $55.4 million, up 68% year-over-year, and adjusted EBITDA margin was 22.1%, up 600 basis points year-over-year. Adjusted net interest expense was $5 million, down sequentially from $11.2 million. The decrease was primarily reflective of a full quarter of savings from our Q4 debt paydown. We recorded other net non-operating expenses of $2.8 million, substantially reflective of foreign exchange revaluation losses. This amount stemmed from a weaker U.S. dollar, most notably in the month of April. We recorded adjusted diluted earnings per share of $0.38, up from $0.06 a year ago. Operating and free cash flow for Q1 were $27.8 million and $26.2 million, respectively and these amounts reflect variable compensation payments in Q1. At the end of Q1, net debt sequentially decreased $14.8 million to $396.2 million and comprised of approximately $171 million in term loan and $382 million in convertible notes, offset by $156 million in cash and cash equivalents. Along with debt reduction, strong business performance contributed to an adjusted net leverage ratio below 2, as of the close of Q1. We continue to prioritize debt reduction with a $10 million term loan prepayment in the first quarter and an additional $15 million to date in the second quarter. On our revolving credit facility, I am pleased we successfully amended the facility to increase our total borrowing capacity by $117.5 million for a total revolving credit facility size of $455 million. No financial covenants or material terms were modified as part of this amendment. As of today, the revolving credit facility remains undrawn, except for previously outstanding letters of credit totaling about $3 million. Now turning to our second quarter outlook. We currently expect net sales of $256 million, plus or minus $5 million, up 19% year-over-year at the midpoint. We expect net sales from our infrastructure end market to increase sequentially, including growth in data center. We expect net sales from our high end consumer end market to be up slightly, reflective of typical seasonality. We expect net sales from industrial end market to be flat to slightly down, with moderation in LoRa offsetting growth in our IoT cellular business. Based on expected product mix and net sales level, we expect adjusted gross margin to be 53.0%, plus or minus 50 basis points, a 260 basis point improvement year-over-year at the midpoint. Adjusted net operating expenses are expected to be $87.5 million, plus or minus $1 million, resulting in an adjusted operating margin at the midpoint of 18.8%, a 460 basis point improvement year-over-year. Adjusted EBITDA is expected to be $56 million, plus or minus $3 million, resulting in an adjusted EBITDA margin at the midpoint of 21.9%, a 310 basis point improvement year-over-year. We expect adjusted interest and other expenses net to be $5.5 million, reflective of leverage-based pricing on our term loan that reduced our interest rate, another benefit of our lower leverage ratio. We expect an adjusted normalized income tax rate of 15%. These amounts are expected to result in adjusted diluted earnings per share of $0.40, plus or minus $0.03, based on a weighted average share count of 90 million shares.
Mitch Haws: Thank you, Mark. We can now turn the call back over to the operator for the question-and-answer session.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Quinn Bolton with Needham & Company. Please proceed.
Quinn Bolton: Hey, guys. Wanted to start-off with a question on the cellular module business. I was, I guess, a little surprised to see that down I think after six quarters of increased bookings and Q1 being the seventh quarter. So wondering if there was anything specific to call out in the cellular module business in April. And thank you for the additional gross margin disclosure in today's press release. But it does look like the gross margin on the cellular modules also came in down meaningfully both quarter-on-quarter and year-on-year. I just wondered if you could explain what happened on the margin side of the cellular module business in the first quarter?
Hong Hou: Yeah. Quinn, hi. Thank you for your question. Yes. So from our Q4 guidance, we expected some level of seasonality on our IoT system product. And -- but you are right, this business is experiencing pretty significant tailwind as I provided during the prepared remarks, because of the [indiscernible] list for our competitor base in China and also the exit of U Blocks (ph) into the IoT cellular business. This tailwind is very evident from our booking activities. And so we do expect -- this business is going to be revenue, is going to be accelerating in the quarters forward. But Q1 was a little low, and we expected that from the guidance of the Q4.
Mark Lin: And Quinn, just to address gross margins. This also came in within expectations. We had guided a little bit lower gross margin or we expect a little bit lower gross margin from the ISC business. But within this business, you also have a little bit of mix between modules and routers affecting the gross margin that we reported.
Hong Hou: So you saw a mix shift more to modules away from routers and that's why I came in lower than, say, the prior quarter or prior year.
Mark Lin: That’s correct.
Hong Hou: And there is also a onetime event on the inventory on the module side. So that is a kind of like impacting the overall IoT system margin adversely, that is a one-time event.
Quinn Bolton: Got it. So there was a write-off of obsolete or excess inventory in that something like that, that was a further drag.
Hong Hou: Actually Quinn, it was more -- in Q4, we had a little bit of a tailwind that we didn't recur in Q1.
Quinn Bolton: Okay. Thank you. I’ll get back in queue.
Operator: The next question comes from the line of Christopher Rolland with Susquehanna International Group. Please proceed.
Christopher Rolland: Hey, guys. Thanks for the question. So mine is just around AI connectivity. It sounded like there was some progress here. Maybe on the CopperEdge side with engagements and revenue by the end of the year. Perhaps you could expand on that and just more broadly talk about where we are in visibility around AI connectivity for you guys overall?
Hong Hou: Yeah. Chris, thank you for that question. Our CopperEdge product, we trail blaze that product into the market through the engagement with the anchor customer. Since then, we have reached out to more than 20 customers and having very close engagement with many of them. And it is really very encouraging to see that they finally recognize the unique advantage that ACC offers compared to AOC or AEC in terms of low power consumption, low latency and a number of them are taking our product prototype samples for qualification and testing. And so, the use cases are going in for scale up of the ASIC interconnect and also for scale out, especially the first level of the switch fabric from NIC (ph) to top of the REC. And our demo at OFC, it's used to CNET (ph) and really shows and give a lot of confidence for our customers. They come in, see and kick the tire, wiggle the cables and see the bit error rate well below the acceptable limit. And so for, say, 200 gigabit, they could see our product can transmit over 3 meters with a 30-gauge cable. That is really very desirable. So as I said, we expect a number of the customers we're engaging is going to be finished to qualification and start ramping by Q4 this year.
Christopher Rolland: Excellent. Thank you, Hong. My second question is around LPO and optical more generally for you guys. If you could describe what you're seeing there in terms of, like, TIAs, drivers for maybe regular optical and then for LPO and how that might ramp through the year? That would be great. Thank you, guys.
Hong Hou: Yeah. Thank you. So as you know, that the Semtech TIA is considered the gold standard for the industry. For traditional retimed our LPO, our TIA has been designed in almost in every module manufacturers. And the LPO coming out of the OFC, that MSAs, they finalize the specification. So now the suppliers and the customers, the cloud service providers. They're all on the same sheet of music and having the same expectation on performance. And there's no longer any argument. Now it's really about the timing and what platform they start deployment. So this is a tremendous progress compared to a couple of years ago. As you know, this industry and tracking for a long time. We're seeing 800 gig LPO links of 100 gigabit per second is going to be used first by multiple cloud service providers. And we are designed in from -- on our TIAs (ph). Our driver is a little bit late compared to our competitors and that we released the last quarter. And our driver because of late reduction did incorporate the specific requirement that MSA dictated or altered. So I would say, our driver is a fully LPA -- LPO compliant driver, and we are working with multiple module manufacturers in incorporation and qualification. So that will bring additional revenue, say, if I would say, by Q4 this fiscal year. So in general, our FiberEdge product has a pretty broad application, the different data rates and different applications, and we are benefiting from the increased CapEx spending of the industry, but also I believe we're gaining some market share. So that and will be -- continue to be a driver for our data center and overall revenue growth.
Christopher Rolland: Thanks for the color, Hong.
Hong Hou: Thank you.
Operator: The next question comes from the line of Harsh Kumar with Piper Sandler. Please proceed.
Harsh Kumar: Yeah. Hey, guys. Welcome, Mitch. Good to talk to you again. Hong, I had a quick question. I was curious, if you could talk about your data center business, the core business, excluding futuristic outlook for LPO and maybe ACC. Just your plain vanilla core data center business, how you see that business trending over the next, call it, six to 12 months? And then I had a follow-up.
Hong Hou: Good. Thank you, Harsh. So, that we disclosed the air pocket in demand on ACC. So from the anchor customer, but the very fact that we delivered a sequence of growth in Q1 versus Q4 on our data center product is due to the strength of our FiberEdge product. So the LPO certainly is in a design win stage has not been contributed to meaningful revenue yet. And based on the booking activities and based on the -- our conversation with our customers, we hold a strong conviction for the second half of the year that the FiberEdge and the plain vanilla has put it, PMDs, we call physical media devices. We'll continue to experience growth, maybe accelerated growth. I'm really optimistic about that.
Harsh Kumar: Great. Thank you, Hong. And then, I was curious about LoRa. LoRa, I think in your guidance, Mark, you said LoRa will be off a little bit. This is coming on the heels of some very strong growth over the last several quarters. You talked about some new end markets, automotive, robotics, hearing aids, etc. I was curious, if you could help us understand why LoRa is going to be off just a little bit? Is it just small stuff like timing or just coming off of hot growth or is there something else? And then when do you see these new markets materializing? And I'll get back in line after this.
Mark Lin: Sure. Thanks for the question, Harsh. So LoRa in Q1, we reported $38.9 million, up from $37.1 million in Q4. So very nice sequential growth. Last quarter, we're getting more into the, call it, the $30 million to $35 million range. So that's where we believe the market will kind of fall out in the next few quarters. We do believe that in our first quarter, there was a little bit of additional build. We said that LoRa has some project spend. Also, we had a customer build additional units for -- in anticipation of our product launch. So that's where LoRa is, we believe that LoRa next quarter will be coming down a little bit, but still quite a strong business. $30.9 million is still up 81% year-over-year.
Harsh Kumar: Understood. Thank you, Mark.
Hong Hou: On LoRa, we do expect a comfortable $30 million to $35 million quarterly run rate. As Mark said, we disclosed a medical customer is ready to launch new product. In Q1, there are some additional orders from them to support a new product launch.
Harsh Kumar: Understood. Thank you, guys.
Operator: The next question comes from the line of Timothy Arcuri with UBS. Please proceed.
Timothy Arcuri: Thanks a lot. I also wanted to ask about the update on AI connectivity. I assume that CopperEdge pretty much is zero in July and October. And then, it sounds like you get a pretty big step up in fiscal Q4 because of all these engagements. Is that the right way to think about it?
Hong Hou: So Tim, that's a good question. We talked about the air pocket in demand due to the platform change with the anchor customer. That is unchanged and -- but we continue to engage with them for future generations, either well in both cable form and chips board type of linear equalizer applications that relationships continue to be very tight, but the demand from them was lower a lot lower than we already expected. But the engagement with other customers for the application of the CopperEdge product and really very, very exciting and encouraging. There are four, five different applications and use cases go beyond just the scale-up interconnect between different RECs are materializing, and some of them are completing the qualification and just waiting for the deployment in their next-generation platforms. We do believe the revenue from other customers will come in Q4 time frame and start ramping from there.
Timothy Arcuri: Thanks a lot. And then, Mark, can you talk [Technical Difficulty] I mean this is kind of a net, but revenues up like $5 million sequentially and gross margins down 50 bps. What's -- is that just mix?
Mark Lin: Yeah. So Semtech is largely mix dependent. So the guide reflects what we believe the current mix will be. So 53.0% in Q2, it's a 260 basis point improvement. So in our financial -- in our press release, in our earnings presentation, we do not break out our semiconductor products groups that consists of our signal integrity and our analog mixed signal and wireless segments. So we brought that disclosure in from our 10-Q. We felt it would be helpful for investors to see it also in our earnings release and our earnings presentation. So within semiconductor products was 63.7% gross margin, up 720 basis points year-over-year, but largely mix dependent.
Timothy Arcuri: Thanks a lot.
Operator: The next question comes from the line of Joe Moore with Morgan Stanley. Please proceed.
Joseph Moore: Great. Thank you. There was a line in your prepared remarks, you sort of said, when uncertainty in the market may impact timing of some of portfolio optimization initiatives. Can you just talk about what you mean by that? And kind of, it doesn't sound like you guys are overly impacted by tariffs. What kind of uncertainty is that creating for you?
Hong Hou: I see. So Joe, thank you for the question. What I mean by that is not about the tariff related, but it's just the overall macroeconomic uncertainties. As you know, the deal flow and people thinking about strategically is probably get a little bit deferred, but we continue to hold our strategic initiatives at a high priority. But because of the overall industry get distracted and getting focused on how to mitigate the tariff risk and activities on the strategic initiative is going to get delayed. So that's what we mean. And -- but we do provide more visibility in our gross margin from our earnings release. so that you can see that we own the business and as long as we own it, we'll continue to work hard to improve and deliver better results. That's the best way to create shareholders' value. We control what we can control. We can't do much on things we can control. So that is the macroeconomic environment.
Joseph Moore: Got it. Okay. Thank you.
Operator: The next question comes from the line of Tore Svanberg with Stifel. Please proceed.
Tore Svanberg: Yes. Thank you, and welcome on board, Mitch. I had a question about the PerSe proximity sensor for the glasses. You talked a little bit about that, but how should we think about that business ramping? Would that happen in second half of fiscal '26 or is that going to be more of a fiscal '27 event?
Mark Lin: Hey, Tore. That's a good question. So we're really excited about the PerSe product. And as you know, traditionally, that product has been designed for the– the standards or specific absorption rate reduction. So it come in really handy due to its low power and high accuracy and also the noise rejection capabilities for smart variables, I bought a Meta Ray-Ban’s (ph) smart glasses, it was absolutely phenomenal. It's just taking pictures and recognize a different locations and do the translation in real time. And we're seeing probably five, six of other customers we are engaging for similar devices. So from the get-go, I think, accumulated, we have supported over 1 million smart glasses using this gesture control capability. Just imagine how many variable devices can be out there and using the smart glasses at the AI interface to link into the infrastructure. So we're very excited about that market perspective. We do believe, again, in the second half of this year, there are going to be more than Meta, jump on that bandwagon to provide smart glasses.
Tore Svanberg: Yeah. That's great color. And another my follow-up and specifically on LoRa, you mentioned the medical customer or perhaps customers. Is this still only going to be the hearing aids or are you seeing LoRa perhaps penetrate other types of medical applications?
Hong Hou: For now, it's just the hearing aid we're talking about, but I wouldn't be surprised that the people start using LoRa for other medical device applications. The beauty of that is just a very low power consumption and very robust connectivity. So for example, the robotics is a new application and that now it's being proliferated pretty widely in using the LoRa to interconnect to different robotics and robots and to build the network.
Tore Svanberg: Very helpful. Thank you.
Hong Hou: Thank you, Tore.
Operator: The next question comes from the line of Cody Acree with the Benchmark Company. Please proceed.
Cody Acree: Yeah. Thanks, guys for taking the questions and congrats on the progress. Guys, could you talk about your expectations for seasonality into the second half across your various markets?
Hong Hou: Yeah. Hey, Cody. Thank you for the question. The seasonality for our TVS product that's a high end consumer. We know that it's coincided with the smartphone release schedule. Other than that, I think the seasonality for at least for the next two, three quarters, we don't see the obvious seasonality. We do see industrial side, the broader market recovery. We see in the data center side, everyone was concerned about the CapEx spending, AI area, but now many of the CSPs and also the industry participants in the broader ecosystem all show the strong confidence that the second half, the CapEx spending is going to be accelerating. We're seeing that from our booking activities. LoRa side is the only one -- I wouldn't call it a seasonality and it’s just a -- this project-based spending they need more material for our Q1. But the end nodes numbers are increasing, and we are shipping record number. Every quarter, we're creating more -- a new record for a number of end nodes. The new applications being discovered and new products, [indiscernible], offers LoRa Plus, what the LoRa+ mean, in addition to LoRa protocol, we support other RF protocols. The significance for that, for example, BLE, the Bluetooth enhanced is that some applications, they wanted to use LoRa, but they wanted to have the back-end compatibility on their installed and deployed base. So with this compatibility of LoRa Plus allow us -- allow the integrators to offer a product, offers a back-end compatibility with the existing protocol. But going forward, they can take advantage of the LoRa protocol. So LoRa Plus is still to us lower centric, that will unlock a range of new applications. I feel that even though the Q2 revenue compared to Q1 will be slightly down, but that's not a seasonality.
Cody Acree: Excellent. Thanks for the help there. And then just thoughts on your gross margin and OpEx drivers in the second half and what kind of trends can we expect?
Hong Hou: Hey, Cody. So I think we've talked about product mix between our three end markets that will largely drive our gross margin into the second half. And for OpEx, just for gross margin and OpEx, we're only guiding out one quarter. But for OpEx, I believe we're making some very good investments in R&D. So we continue to focus on project spend and monitoring our product spend with R&D that has not changed quarter-over-quarter. We believe we have some great opportunities in front of us. Other areas of OpEx growth, we are kind of filling out our commercial team, and that commercial team is like a technical sales force, right? So that team allows us to get some better information, better information exchange with our customers and better aligns our R&D spend to what our customers need.
Cody Acree: All right. Thanks for the help.
Operator: The next question comes from the line of Craig Ellis with B. Riley Securities. Please proceed.
Craig Ellis: Yeah. Thanks for taking the question. And Mitch, great to be back in touch and having you on board the Semtech team. Guys, I wanted to start just by getting a better understanding of what you're expecting within data center in the back half of the year. So it seems clear that we've got two significant things happening. We've got AI connectivity that seems to be coming up and coming back on multiple customer wins away from your key customer. And then, we've got LPO that's starting to ramp up. The question is, can you help us dimension those two items as we exit the year, which will be the bigger driver. And if you look at the arc of what's happening with these, can you help us by characterizing what we should expect as those programs go from initial ramps to more meaningful volume?
Hong Hou: Thank you, Craig. Yeah. So as you know, we are -- we have a pretty broad product portfolio for our data center connectivity. We've got FiberEdge with the TIA and the driver. We've got a CopperEdge with a linear equalizer, and then we get to Tri-Edge CDRs and basically integrated with PMD. So this diverse portfolio does help us even when we experience a little bit the air pocket in CopperEdge with the anchor customer and the growth in FiberEdge and the Tri-Edge overweigh the drop or the decrease in demand on the CopperEdge. But as I said, we expect a lot of good things happening in the latter part of this fiscal year with more than the anchor customer demand for CopperEdge, that's going to materialize. LPO, that's the incremental opportunity is going to materialize when the customers start to deploy 1.6T optical transceivers, they're likely to use drivers for lasers and modulators and because the traditional 100 gig or below they could use an integrated driver from DSP to drive EML. It looks that the performance in order to get the link very robust, they need external drivers. So that's incremental opportunities for us. So if I have to take a step back, look at the FiberEdge it's a strong product line in itself provides a very high level of demand. And then when this tailwind starts coming in, playing in and that's our incremental on top of it. In the FiberEdge, we benefit from, as I said, the CapEx spending from the CSP side. Also, I believe we're gaining some market share in there. So we get a strong drilling base and you get three incremental opportunities superimposed on top of it. And this really, we feel like a broader portfolio to help to mitigate the exposure the air pocket we described before.
Craig Ellis: Okay. So very broad-based as we exit the year and participation from three key parts of the portfolio. The follow-up question was around the product that you spoke to in your prepared remarks on, you talked about SurgeSwitch as being an integrated product that is more system level protection. I want to understand what types of products is that getting designed into -- and how does the dollar content for that product compared to what we would typically expect with protection? And how should we think about that product's ability to drive visible growth within that part of business in high end consumer? Thank you.
Hong Hou: Yeah, Craig. So on SurgeSwitch, you're right, it is an integrated device. So it's -- it provides additional protection and digital features. So we've launched this in multiple customers. system-level design does require a lot more customer intimacy. So we're very happy with the amount of engagement that we have with customers. And it does have some noticeable or some improvement in ASPs. But again, I think Semtech's TVS products are not just commodity type products. So we've already been enjoying or deserving, I should say, higher ASPs based on our technology. So SurgeSwitch, though, it protects against electro overstress in addition to electrostatic discharge over a wider temperature operating range. So that's the benefit that our users get when they design in SurgeSwitch.
Mark Lin: And then also kind of they used to protect the Type-C connectors. Now the Type-C is used everywhere. It's not only in the smartphone, it’s in automotive, it's in a telecom in many different charge ports. So the circuits which just provide a lot more robust protection capabilities.
Craig Ellis: Okay. So it's nicely some expansive for you over time?
Hong Hou: Exactly. Yeah.
Craig Ellis: Got it. Thanks, guys.
Hong Hou: Thank you.
Operator: And the last question will come from the line of Scott Searle with ROTH Capital Partners. Please proceed.
Scott Searle: Good afternoon. Thanks for taking my questions. Hey, maybe to just follow up quickly on the data center front. I was wondered if we could get calibrated if we put LPOs to the side starting to ramp up in third and fourth quarter and some ACC traction starting by the end of this year and ramping into fiscal '27. The portfolio outside of that what sort of normalized growth rate do you think we should see over the next couple of years? It sounds like in the near term, we're starting to see FiberEdge continue to drive that. I'm wondering if you could help us understand what that that normalized expansion looks like and your comfort level that customer inventories are at a pretty good level so that we don't see any sort of air pockets or big drawdowns in the next couple of quarters, and I'll call it core data center before we get to LPOs and ACCs.
Hong Hou: Great. Thank you, Scott. So the normalized growth rate, I think we can track basically out of the research report on the CapEx spending, then for a number of research -- market research report, they even call out more specific optical transceivers. As I said, our data center product and the main thing is FiberEdge. If you track the volume increase of data center transceivers. And as I think our growth rate to track that pretty well and probably higher than that. The LPO adoption will bring incremental capability, incremental revenue for us because of the driver because the premium on TIA side and CopperEdge right now, with the anchor customer is not zero, but it's lingering and until the next generation, but with other customers, it's going to be start contributing meaningfully in Q4 and ramping in the next fiscal year. Then they try -- Tri-Edge product, which is a CDR. We designed in the major -- with the major CSPs for the reasons beyond our control, they delay the deployment and now they seem to be resuming. So that's why it give us strong conviction of these factors compounded together. I do feel borrowing the rapid adverse change of the tariff policy of something else beyond our control, we do feel the second half of the year, we are very well positioned.
Scott Searle: Okay. Very helpful. And if I could conclude, just on the cellular module front, seasonally down quarter, gross margins with utilization under a little bit of pressure. But given [indiscernible] headwinds within the North American markets and increasingly, I think, in European markets, what we're seeing with the exit of U Blocks as well. I wonder if you could talk a little bit more about the bookings when you would expect that to inflect and we start to see that more in the P&L and really realistically, what target gross margins could look like in that environment, given that some of your competitors are going to be facing pretty high bars in terms of tariff headwinds? Thanks.
Mark Lin: Hey, Scott. I'll take that one. So, as we reported, we've had seven consecutive quarters of bookings growth. So I think that's long-term kind of sustainable bookings. We did have a down quarter in Q1. But again, that was in line with our expectations, and we guided for Q2 that IoT cellular business to increase in revenue. Gross margins, we should see step-ups in gross margins. We are managing this business for margin expansion along with our other businesses.
Scott Searle: Great. Thanks so much.
Operator: Thank you. This concludes the question-and-answer session, and I'd like to turn the call back to Mitch Haws for closing remarks.
Mitch Haws: Thanks, Joe. That concludes today's call. Thanks to all of you for joining us today.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.